Ruud van Maanen: Good morning, everyone, and a warm welcome to a cold yet sunny Amsterdam. And welcome to the results of Wereldhave 2020. I'm here today with CEO Matthijs Storm and CFO Dennis de Vreede. And also I'd like to introduce later on in the presentation Pieter Polman, our MD for the Netherlands, who will give you a brief story about the Netherlands and the projects over there. And for the question-and-answers, you can type in -- your question already in. As there might be some time delay, I would invite you to ask the questions as quickly as possible. Also possible during the presentation, these will be answered at the end of the presentation. And with that, I'd like to give the floor to Matthijs Storm, who will take you through the first part of the presentation. Matthijs, go ahead.
Matthijs Storm: Thank you, Ruud. Good morning, everyone. Happy to be back. And I think we're -- as you could have seen in the tone of our press release and also the presentation that we'll take you through today, we're quite excited. So happy to take you through the slides together with Dennis and with Pieter Polman. And we're starting actually on Slide #5. So I'm clicking through quickly. There we go. I think one of the key questions that might be on your mind is what is the impact of COVID-19 on the strategy that we also have announced back in February '20. As you might recall, last year -- it feels such a long time ago, but it's only 1 year ago. We presented our new LifeCentral strategy to the market, and that strategy is mainly focused on the transformation of traditional shopping centers into what we call Full Service Centers. Now as you can see on this slide ,#5, on the left-hand side, there's a couple of items that we highlighted. We want to decrease traditional retail floor space, focus on convenience retail because we think that's resilient. And lastly, we want to cater for the primary catchment area. We really focus on proximity. We want to get more out of that primary catchment area. That's what we presented exactly 1 year ago. If you look at the impact of COVID-19. For example, if you look at the decrease of retail floor space, that is a trend that we think has been accelerated but not magnified. And I think that's important. It's important to mention that because the strategy that we presented a year ago, I think, from that perspective, was already very realistic. That's why we say on the right-hand side increase in mixed use and transformation to residential. You will see today later on in the presentation that we also have additional residential projects to announce. If we look at convenience retail: As you might recall, we -- roughly half of our portfolio exposed to convenience retail, which I think is a strength. And the focus on the primary catchment area will remain. So all in all, our belief is that, despite COVID-19, our strategy is the right one. And if you actually go to the next slide, Slide #6, you can see from a financial perspective, I think, a very strong message that we're giving today. Our outlook for 2022 that we presented back in February last year was €1.40 to €1.50 per share for the direct results. This is an outlook that we reiterate today despite COVID. Why, you might ask? That's basically stated on this slide. If you look at our net rental income assumptions, they're not much different from 1 year ago. Again, COVID-19 has accelerated the trends but not magnified. If you look at the cost savings program: We've mentioned that before. Dennis will tell more about that later in the presentation, but of course, that is a positive versus our initial scenario. Also the refinancing, again Dennis will tell more about it later, €270 million in 2020. I think that's a remarkable effort, I haven't seen that many companies refinancing such a large amount last year, again at a lower cost of debt. So that helps. Lastly, of course, because of COVID, there were revaluations. Some of them, of course, were not anticipated 1 year ago when there was not COVID yet. So hypothetically, we need to sell more to arrive at a 35% LTV. Of course, that is dilutive to earnings. We've modeled that to arrive at the same 35% LTV, and then we still feel comfortable to give the guidance for 2022 of €1.40, €1.50. Again I think from my perspective that is one of the strongest messages we give out today. If we then go on to the next slide, we take you into the highlights of the full year 2020 results. I'm not going to go through all the numbers, of course, but the direct result per share at €2.01 is right in the middle of the guidance that we provided to you at Q3. Also important to mention, if you would adjust for the impact of COVID, it would have been €2.48, actually even a little bit higher because we also need to add back parking income, sales-based rents and all that stuff that was also impacted by COVID. €2.48 is above the guidance we gave 1 year ago of €2.35, €2.45. And so I think that is also a sign that operationally, despite COVID, we have pretty resilient results. Dividends, on the fourth line, €0.50 per share. And why are we paying €0.50 per share? Of course, there is, first of all, a fiscal minimum which is actually below this €0.50 per share. We feel comfortable to pay out €0.50. What are we doing? We're balancing this amount with the CapEx that we require the coming years for the LifeCentral transformations but also with our loan-to-value. Of course, we want to make sure that our loan-to-value goes down rather than up because our range is 30% to 40% as a target, but again I think -- after cutting the dividends, the dividend payments for the last 3 quarters of last year, I think this is a strong sign that we feel comfortable to pay €0.50. Net loan-to-value, 46.7%, actually 46.3% if you adjust for the disposal of de Bogaard that we're also announcing today. And that was actually transacted yesterday, so it's slightly up, but I think, given COVID, that's a very acceptable increase. And I'm confident we will manage to get this LTV down below 40% in 2022. Also, Net Promoter Score, important for us in the customer-centric strategy, went up from 0 to plus 4. I think that is already the first sign that some of the initiatives that we'll tell more about later from a customer experience perspectives are paying off. And I think, in a year where consumers and our tenants took a big hit, it's a good effort that we've been able to increase this. Mixed use is now 10% of the portfolio, also here an increase despite COVID. Now I'll take you through the next slide, which is focusing on the net rental income. I can be really quick here. Of course, the like-for-like is heavily impacted by COVID, so I don't think it makes too much sense to zoom in on this. If we then go on to the next slide that focuses on the results, operations full year '20 country by country. And after this, I will give over to Dennis to tell you a little bit more about the cash collection. Belgium, France and the Netherlands. I think 386 leases signed in 2020 is a good performance. When we look back at last year, at the number of leases, we figured out it was almost equal. And I think this is something that I never expected in March or April this year. I thought the rest of the year were busy with COVID-19 launches and adjustments, but next to that, we signed 386 leases. And you can see in all 3 markets we did a good job and you can see that in the leasing volume. If you look at leasing versus ERV, plus 4.5%, underpinning again, and we've said this consistently every quarter, we are signing in at least 2 out of 3 countries above ERVs, which is a good sign, I think, going forward looking at valuations. Occupancy rates: I noticed some of our peers took quite a hit on occupancy in the second half of the year. We didn't. Our occupancy rate went up from 94.8% to 95%, which I think again in a COVID-19 situation is a good sign. Like-for-like, I've mentioned that, that is something that is not worth mentioning because of COVID-19. I'll click on to the next slide, and Dennis, over to you.
Dennis de Vreede: Yes, okay. Thanks, Matthijs. Well, I don't have to tell you that the pandemic had an impact on everybody's everyday life. And as we and our centers cater for that everyday life, I think it really shows on the left-hand side, in the visitor numbers in our centers. It also shows, if you look at the graph -- is that recovery of footfall can happen really quickly. What became really important for us and for all of us, all of our peers and the entire industry, is liquidity. So during lockdowns, we've seen our retailers, their turnovers, collapse, differences indeed between different retailers, nonessential versus essential retailers, but really to get through the crisis, we introduced our Fair Support Policy. So what we really did was looking for case-by-case solutions with our tenants and looking into where can we provide some flexibility basically to maintain our long-term relationship with those tenants. The result is clear on this slide. We ended the year with a strong rent collection of 94%. And I think that is demonstrating, I think, the strength of our leasing teams and our commercial teams and ability really to discuss the flexibility with our retailers. If we go to the next slide, next 2 slides actually, and zoom in a bit on the rent collection for 2020, then on the left-hand side you could see that we have been receiving about 89%, close to 90% of the original invoiced rent. Out of that pie, 11% is still open. And that is the -- on the right-hand side, the breakdown of those open payments. We do expect about 17% of that to be collectable, which represents about €5 million. The uncollectable piece of what we have been providing for at year-end is about 42% or €12 million. And we've been really giving out discounts to our customers for about the same percentage or also about €12 million. That's really demonstrated a bit more clear on this -- in this waterfall in euro terms. I think, for the analysts on the call, that makes your model work a little bit easier, but again there it's quite clear that, out of the €261 million, we have been collecting €232 million. And our remaining exposure carrying into 2021 is about €5 million of that rent. Matthijs?
Matthijs Storm: Yes, thank you, Dennis. We go first to some information about the Belgian and the French markets, and then I'll hand over to Pieter for the Dutch portfolio. Belgium, 92 leasing deals 7% above ERV, I think a strong performance again from the Belgium team. And worth mentioning is the renovation of Belle-Île, our shopping center in Liège. We announced that as one of the first Full Service Center projects last year. It basically consists of 2 phases, a renovation and an extension. The renovation, the refurb is now completed; and we're actually waiting now for the construction permits for the extension. In Kortrijk, we are announcing a new Full Service Center project today. We'll get back to that, but that will certainly help also the performance of this shopping center. If we then go to the next page, on France, 52 deals signed slightly below ERV. Here also a project in terms of renovation, Saint Sever in Rouen, where we completed a very large renovation of the shopping center, but also, as you can see in the leasing examples, we signed a Primark. That was actually yesterday in the news in France, picked up by several newspapers, Primark welcomed to Rouen and will anchor this shopping center, which I think is a positive sign. Also, in Docks 76 in Rouen we signed Carrefour and Biltoki, so a good food offer for this shopping center. And we also signed the first LEGO store of Normandy in Docks Vauban in Le Havre, I think also a very positive sign. So despite the fact that we changed the strategy on the disposal of the French portfolio, and we'll get back to that later, I think -- operationally from an occupancy perspective, as you could see, from a leasing perspective, attracting these names like Primark, like LEGO, like Carrefour, I think it's a sign that we have this portfolio, with Olivier Mourrain and his team, very much under control. With that, I'd like to hand over to the Netherlands, so Pieter, please come forward and you can take over.
Pieter Polman: Thank you, Matthijs. And good morning, everyone. It's an honor for me to share you and to give you a little bit more insights into the Dutch operations. And let me start with this. It was not really an easy year for us. COVID has to do with a lot of it, of course, but I'm really proud to share you all of this good, strong operational results for the Netherlands. If I start with the occupancy. Almost -- we increased it to almost 97%. And then when we dive a little bit deeper into the leasing deals, what you see here is that we signed 242 leasing deals, and we signed them 6.4% above the market rent. And if you compare this with last year, it's almost a similar amount of deals, but I'm really proud to show that we signed them -- despite the year, of course, with COVID deals, and the team was working really hard on this, that we signed them 6.4% above the market rent, but we not -- did not only sign leasing deals and COVID deals. We also worked towards the Full Service Centers by implementing the strategy, and let me give you some examples of this. When -- I start with the UpNext concept. It's a full-service pop-up concept, a pop-up concept where Wereldhave provides the tenant the service that they needed for a temporary lease. And it is a success from the beginning. We launched it in 2020 and we already signed 11 deals. Then The Point: The Point is a concept that we launched in Cityplaza Nieuwegein. It was already a success in Belgium, and from the beginning, it's also a success in Nieuwegein. It's a concept where you can pick up or deliver your online parcels. And a lot of more services are provided at The Point, but this is not the only last-mile concept that we own. We also own Connect, and Connect is a service where you can order online from your local favorite store and you can pick it up in the center or you can let it bring it to your house. Then what you see here on this slide is Dordrecht Sterrenburg. It's a really important project for my team, and let me tell you why it's important. Roughly 2 weeks ago, we started construction works here for the extension of a Jumbo food market. And Jumbo food market is a whole food experience, and this will be the largest supermarket in Dordrecht. By adding 200 more free parking places and adding the food market, we think we will catch more out of that primary catchment area, even maybe a little bit bigger, so we think that the visitors amount of Sterrenburg will also grow. And besides this, this project is actually a no-brainer for us because, with a 97% of pre-let, this project will directly contribute to the result after the delivery. And the delivery is planned now in the early of 2022. And as I told you about footfall and that we expect that the footfall in Dordrecht, for example, is increasing -- brings me to this slide. What you see here is that the recovery of the footfall is strong in the Netherlands after the first lockdown. So you see here the recovery of the footfall after the first lockdown in the Netherlands. And I think this is mainly due to the fact that we do have centers with food anchored and really convenient spaced. And for example, visitors are coming 2 or 3 times a week to the -- to our centers. Then when we zoom in a little bit more into the footfall, that brings me to the next slides. And maybe what I'm going to say now is a little bit strange for you because we saw some benefits of the current lockdown, and although you don't expect it first, we did. And some of my team members, they said to me, "Pieter, what we can do is -- this is a unique moment to see what the unique footfall is of our essential stores," and this is exactly what you see here. So for example, if you take food, you see 10 weekly visitors per square meter in January. And although, okay, I think -- don't think this is new for you, that food is a big anchor, but let me talk about The Point. As I just said, The Point is a concept where you can bring your packages or you can get them, or there are more services there. And we opened it in the end of last year in Nieuwegein. And from the beginning, it's on 6 weekly visitors per square meter. And if you compare this with a portfolio average of 3, it's also a success. So that confirmed to us that we are doing the right things by implementing services like The Point. So the success of future retail will -- depends on data. And what you see on this slide is the turnover data amount that we get in, in the Netherlands. And although maybe, as you know, it's not really common to get data in, in the Netherlands, my team worked really hard to get more data in. And that's what you see here. So we increased, we were able to increase the amount of data sharing from our tenants. And we also used COVID here. So we add a commercial benefit to the COVID deals, for example, sharing the turnover data that helps us, but sharing turnover data is not only a commercial benefit. It's also a strategic benefit because, as you know, we are transforming assets. And when you are transforming assets, you want to measure the success of the things that you are doing. And for example, by implementing services or concepts or if we add a gym or if we add in other services to our centers, we want to measure the success of this. And it makes -- it's more easy now to measure this in the Netherlands. And to end of this slide is to say that we want to measure in the Full Service Center transformation. We want to learn. So if we transformate one asset, we want to learn from this in the second asset. So that's it for me. I'll come back in a minute to share you more about the Full Service Centers that we are working on now. And I'll hand over back to Dennis.
Matthijs Storm: Thank you, Pieter.
Dennis de Vreede: Okay, thank you, Pieter. So I'm moving on to the next slide, which is Page 21. And this is providing you a waterfall, quite some detail actually, for direct result compared 2020 with 2029. I think clearly the disposal we announced earlier last year of WoensXL had an effect. You could see that on the left-hand upper corner, but also clearly the largest effect on this slide is the COVID impact, which is represented in our doubtful debt. And that's where the main impact of the pandemic is visible. On the other hand, also the lockdowns had an impact on the -- directly on the NRI through bankruptcies, lower sales-based rents, lower parking income, lower specialty leasing. I mean just back to what Matthijs was showing on Slide 8 is quite visible here. The negative effects were partly offset by our cost savings program. We spend a lot of effort, a lot of time on our liquidity preservation program. As part of that, we had a very strict cost control program, and that had an impact of €2.8 million positive. About cost efficiency. I think it's clear that it's one of our top priorities, to stay cost efficient. I think, back in 2020, we've been able to reduce our direct general expenses by about 20%. To be honest, it was helped by a few one-offs that totaled about a net effect of €1.6 million. And what to expect for 2021: I think it will be really roughly in line with 2020. So despite the fact that we had some one-off benefits in 2020, we do expect to keep our cost level in 2021 roughly the same as 2020. Beyond 2021, we are still focusing on another -- on a number of additional cost reductions. I think the biggest obviously will be that, once we start to phase out France and we have completed that process, we will leave those general expenses behind us. Other things are changing our headquarters. So we are looking into opportunities, into possibilities to move to a different and a less-expensive location. And clearly, I think, and lastly, is as soon as we start to enter into our strategic growth phase, then we should also be able to limit the increase in costs whilst we are increasing our rental income. So talking about the outlook for 2021 on this slide here. We thought it would be helpful, for investors, to provide some outlook, a guidance for 2021 despite the uncertainty around the pandemic. Our guidance for direct result for this year is a range of €1.80 to €2 per share. Of course, it requires a little bit of explanation, which I tried to put on this slide as well. I think some of the assumptions, the major assumptions, are the disposal of de Bogaard has been included in this, the one we announced earlier today. We also expect 2 more disposals in the Netherlands, hopefully, by the end of this quarter. We are in negotiations with 2 buyers for 2 last assets, I would say, in the Netherlands of -- out of our disposal program. Those have also been factored into this guidance. We have not included other lockdowns than what we know already today. France and the Netherlands are assumed to reopen early March. Belgium is still open, except for the F&B and hairdressers which are expected to open at the end and the beginning of March, respectively. If I just roughly make a calculation what we experienced last year, then 1 month of lockdown on the average in 2020 was at a cost of about €0.15 direct result per share. We're also no pandemic experts, so I'll really leave it up to you to make your own assumptions about more lockdowns and the effect of it in 2021, if it will be larger or smaller, but this is really how we see it today. As mentioned earlier by Matthijs, we do expect our trough direct result per share to bottom out in 2022 between €1.40 and €1.50 per share. For dividends, I think also referring back to what Matthijs is saying, we propose €0.50 per share of annual dividend over 2020 to be paid right after our AGM in May this year. And I'll come back a little bit later in this presentation on our capital allocation strategy. To end this section, I also wanted to provide you a bridge for the net asset value per share development. We changed this really into the new EPRA metric, the net tangible asset ratio, which we believe is best reflecting our business. This declined with €5.23 per share in 2020. And obviously and as shown on this page, the major impact, of course, is the indirect result which is the negative revaluations of our portfolio in 2020. So let me move back to Matthijs to tell you a little bit more about these revaluations.
Matthijs Storm: Yes, thank you, Dennis. Let's focus on indeed these valuations and also on the disposals. I think Dennis already made some comments, but we'll zoom in a little bit deeper. Revaluations, you can see the numbers. I think what we want to add here is that, as you know, historically the Belgian market from a valuation perspective but also from a rental value perspective has been more resilient than other European markets. And I think that is reflected here as well. We have a 5.6% net initial yield for at least what are the 3 best centers also of the Walloon area, Nivelles, Tournai and Liège. And I think also Kortrijk is certainly one of the better centers of Flanders. In Genk, we are straining a little bit more. I think we have the best center there. We have a really strong team, but it's a more difficult market, but all in all, 5.6% for a prime portfolio is -- I think, is pretty comfortable. In the Netherlands, as we've said before, we think we are reaching, we're starting to reach the low point. Of course, COVID had an impact on valuations also in 2020. As you will see on the next slide, and I'll go straight into that, there is more of a yield shift than of an ERV change, yes. As you can see at the bottom of the slide, 10.2% valuation declined, 2/3 driven by yields, 1/3 by rents. We are still a little bit surprised, particularly in the Dutch portfolio, that there is an ERV impact. We keep leasing above ERV, but it is what it is. But I think this is also in the future where there is room for growth, if you would ask me. If we then go to the disposals. We executed some deals in 2020. They're on this slide. I'm not going to mention them again because we already did that earlier. What is new today is here the sale of de Bogaard in Rijswijk. It's a shopping center of almost 20,000 square meters. And we sold it for €26 million, so the analysts who can do the quick math can see that this is a low price per square meter, and that is correct. It is also below book value. This is an asset which is really at the tail of our portfolio, I think, not in 2020 but for a longer period of time. I think the biggest reason why we sold it is because it's a multi-ownership situation. It's exactly the same reason as WoensXL. If you want to transform a retail area and you're not the only owner, it is complicated. So this is why we sold WoensXL. This is why we sell In de Bogaard in Rijswijk. In addition to that, there's a lot of vacancy in the area. And this is one of the few shopping centers that we have in the portfolio without a food anchor. The transaction date was yesterday, and the reduction to our LTV is about 40 basis points to 46.3%. If we then make a side step to France. As you might recall from the first half '20 presentation, we mentioned to you that we were in exclusive due diligence with a single buyer. And in the second half of the year, of course, there was another lockdown in France. Capital markets didn't improve, as you know, and we decided to let this exclusivity expire. So we didn't extend it. That was a decision by us. Why did we do this? 3 reasons: We think, going forward, investment markets will improve, vaccines, economic recovery. Secondly, our loan-to-value at 46.3%, but if you would include the last 2 disposals in the Netherlands, we're probably closer to 45%. It's still above the targeted range but very far away from the covenants at 60%. Also, as you might recall, we did a large refinancing, €270 million, in September last year, so also in the second half. So together with that lower loan-to-value; the news on the pandemic and on the economy; and last but not least, the news on the Dutch disposals, which is going very well, we think it's better to protect our shareholder value and gradually sell this portfolio over the next 2 years asset by asset or maybe in packages as some assets might be packaged together. Please recall that the portfolio is spread across France, some larger centers, smaller centers. Some have value-add potential. Some have not. Rouen Saint Sever, I think, is now a clear example of a very prime core asset with Primark, with the refurb that we did and some additional leases. So that will go to another buyer then, for example, Mériadeck in Bordeaux. So we are confident that we can extract most value out of it by selling it the next 2 years. And please recall this is in line with our initial strategy that we presented to the market back in February 2020. Then to the Dutch markets. I think I already gave some color, last 2 disposals in exclusivity stage. And I think what's important to us, once that is done, and I'm confident that will be soon, then in the Netherlands we can fully focus on the transformation of our shopping centers into Full Service Centers. And at the right time, of course, we will also go to step 2 of our strategy, which is expanding the portfolio again. Then we go to the next part, capital allocation and financing. And as you might expect, that is more for the CFO than for myself, so Dennis, please go ahead.
Dennis de Vreede: Thanks, Matthijs. Yes, a few slides on capital allocation and financing, I think a very important topic these days, particularly with the pandemic still ongoing. On this slide, #33, that is -- I don't see the page number here, but it's hidden on the left bottom corner, our capital allocation slide. I think the priority really for us is to build a rock-solid balance sheet, with a targeted LTV between 30% and 40%, by disposing more assets. So Matthijs already talked us through that. Secondly, we will be investing in a future-proof Full Service Center portfolio through our LifeCentral program. And that is really, I would say, cornered by the fact that we want to create long-term value for our shareholders really at a minimum of 6% unlevered IRR per center. We will be and keep paying a dividend as required, primarily under our fiscal regime. Long term, that means obviously that it is within the 75% to 85% of our direct result, which is our dividend policy. However, and Matthijs mentioned that before, we need to balance this with our planned CapEx and our targeted LTV, obviously. Despite the fact again that we are still in liquidity preservation mode is we proposed to reinstate this dividend to the €0.50 per share, as mentioned before. On the CapEx side, what I tried to do here is to provide you the same view as we did 1 year ago when we announced our new LifeCentral strategy, but really what we have been doing and obviously as a result of the pandemic is to realign this CapEx program with the new reality. So still we are targeting between €300 million and €350 million in total of CapEx over the next 5 years, but we have drastically cut that CapEx in 2020. And also, as you can see, in 2021, compared to the original plan, we've been cutting the CapEx pretty much back. On the left-hand side, you still see the targeted divestments last year and what we are facing today. So the €109 million has been executed. That includes de Bogaard as well, and the portion below that is France and the 2 remaining Dutch assets. Moving on to the next slide, which are our key development projects. I think this sheet here summarizes the projects we currently have shown commitments to. So quickly to go through a few of them: Tilburg will become an inner-city Full Service Center, a project that has already been running for a couple of years, but we are really transforming it into the first inner-city Full Service Center. Sterrenburg has commenced. Pieter just talked about that, not an Full Service Center transformation but really a good-yielding extension project without a lot of risks and with a 97% pre-leasing. Kortrijk, as mentioned by Matthijs, first phase of the Full Service Center transformation will start this year. And the Belle-Île in Liège and the Vier Meren in Hoofddorp, we have the plans ready to start those FSC transformations. However, we do remain flexible today, so we have not made any external commitments for those projects yet. Two more slides, on our debt profile and debt situation. And I think this slide here, Slide 36, really shows the increased liquidity at a stable cost of debt and ample headroom within all of our debt covenants. Liquidity has improved by the higher undrawn committed debt as well as the cash position at the end of the year. That's increased by the sale of the 2 assets we just mentioned. Average cost of debt is stable at around 1.9% for the year. And although our overall debt decreased, the net LTV rose only about 1.9 percentage points on the back of the devaluation of our portfolio. And as Matthijs was just saying, it's now 40 bps lower because of the sale of de Bogaard. Revaluation impact was offset by those disposals. So net LTV at 46% -- around 46% is still very comfortably within the 60% covenant. And the same applies, I would say, to the other debt covenants on interests cover and solvency. On the debt mix, on the next slide, Slide 37. In 2020, we have been able to arrange €270 million in debt facilities either by obtaining new ones or extending those already in place. Following recent actions, our unused credit facilities are sufficient to cover all our debt maturities until Q3 2022. With a range of lenders, I would say we are, again, in constructive discussions, which makes us feel comfortable in improving our debt maturity profile in the coming half year. Another small side step is that we did buy back our EMTN, a €10 million EMTN we put out only 3 years ago, at a very interesting discount. Interestingly also is that we have been canceling our Moody's rating just because of the fact basically of 2 reasons. We will not use our credit rating as part of our funding strategy, currently at least, and also to reduce further our cost base. And you may have seen in the news earlier this morning as well is that Moody's did upgrade our outlook to stable with their end report, so from negative outlook to stable outlook. I think that really also demonstrates the strength of our balance sheet. On the debt expiry profile. I just mentioned already that we are currently focusing on the debt maturities for the second half of 2022; and the -- and basically also the first half, I would say, or the full year of 2023. As you can see on this slide, the drawn portion in 2023 is just over €100 million. Again we do feel comfortable with all the constructive discussions going on, and the plans we have is to be able to improve our liquidity into 2023 this year. With that, I hand it back over to Matthijs for the LifeCentral strategy.
Matthijs Storm: Yes. Thank you, Dennis. And then we go straight on to Slide #40, a quick recap from last year, 3 pillars of the LifeCentral strategy: transformation of our shopping centers into Full Service Centers, strengthen the balance sheet and build on strong team and presence in the Benelux. And I think you can see today in our operational results that, that is a very fair statement. If we then go to the next slide, you can see the 3 steps of the strategy: transform, expand and scale. Of course, we're still in step 1. I think the only thing I'd like to highlight here again is that, when the time comes that we will buy assets again, we will be very disciplined that we will only acquire if the IRR exceeds the public market implied weighted average cost of capital. It's a long sentence, but I think it's important to mention. If we then go on to the next slide, COVID-19. What is the impact for us? I think I already made some comments in the beginning of the presentation. If you look at our mixed use targets, last year, we said 22%. It's now 25%, so it's only a small increase. Secondly, in terms of mixed use priorities, we've mostly been adding health and well-being, as you can see, but particularly also residential. On the right-hand side, you can see we now identified 10 locations out of 18 remaining shopping centers. In Belgium, we'll get back to that later, but that's a market where in the second half of the year we've been adding 3 projects, further adding to the profitability of this pillar in our strategy. Dennis already mentioned not just Belle-Île and the Vier Meren but now also Ring Shopping as new projects towards a Full Service Center, and also inner-city Tilburg. On this slide, this is basically an update of what we did with the H1 results. We're underpinning again, on the right-hand side, that we think our space that we dedicate for transformation in the Netherlands is implicitly valued at €1,600 a square meter. Again that is a valuation that's a starting point that allows for profitable transformations. I think, if you will do these numbers in other countries in the world, it would look different, but I think in our Dutch portfolio we really have this opportunity. Did we make process on the -- progress on the strategy last year despite COVID? The answer is yes. You can see that in the chart at the bottom, where mixed use increased from 9.4% to 10%. It's not a huge increase, although the bar chart is maybe a little bit misleading, but I think it's nice that at least we made some improvement; and but also the refurbishment of Belle-Île, so the first stage towards a Full Service Center, yes. In the Vier Meren in Hoofddorp, we've worked really hard on the design with the architects and that's finalized now. So that's all still going according to plan, and I think that's a positive sign. The other concepts have already, I think, been mentioned by Pieter Polman. Then on the numbers again. As Dennis mentioned, our threshold is 6% unlevered IRR. We use Green Street's model to basically determine what is the average for continental Europe in terms of unlevered IRRs. That's a number that obviously fell last year because of COVID from 5.1% to 4.7%. That's the dotted thresholds, the green dotted thresholds, in the chart. We decided to keep our threshold at 6%, which I think is a strong sign in a market like this. Again, 11 assets will be transformed. 5 are still on hold. And as we mentioned, the orange-graded area is -- shaded area is almost done when we have sold the last 2 Dutch assets. So that's good news. Residential. The Dutch market, we already updated in the first half. We will come back on the Dutch projects with the first half '21 results, but in Belgium we now made progress on 3 projects, of which Nivelles with 230 units, it's a very profitable project at the back of the shopping center where we own a big piece of grassland, is one of the larger announcements. You can see that's the expected profitability, and the expected number of units has therefore increased. It's fair to say that de Bogaard in the Netherlands initially was also in this chart, although we never announced it explicitly. It was in an early-stage phase. That, of course, has been taken out of the potential. Then we go on to the Full Service Center projects. And for that, for the 2 Dutch projects, of course, I think Pieter Polman, please come to my desk.
Pieter Polman: Thank you again, Matthijs. I'll give you a little bit more, an update on the Full Service Center transformation that we are working on in the Netherlands right now. Let's start on this slide. You see Hoofddorp Vier Meren. And as Matthijs already mentioned, it's that we worked on this project last year. Actually, we finished a preliminary state of this project, and -- but we also adjusted the project and we also reviewed the project. And one really important thing, what we did, is 1/3 of this project is now mixed use. So actually we decreased the amount of traditional retail and we increased the amount of, for example, leisure and entertainment but also co-working. Now we're working towards a final phase and then we can start the construction after it. This center is also really important for us because of the food component. And as I also mentioned in, for example, Dordrecht or other centers and the footfall again, what you see in Vier Meren is that, just 1 year after we opened a Jumbo supermarket, in 2020, Albert Heijn make the new extra-large formula in our center. And we will also add our concept every deli. It's a fresh street concept. We will add this to our Full Service Center. So food is an important component here as well. That brings me to the next slide, Tilburg. Maybe this is a center -- you know we are in development for a while of this center, but what we did is -- during the research, we saw a -- really demand for quality F&B but not only F&B. We also tested some leisure concepts, and those leisure concepts are really catching on. So with an optimal combination of retail, F&B and leisure and services, this center qualifies as a Full Service Center as well. And to -- when -- well, I'll hand it over to Matthijs, but I want to say I'm really proud of the team because of the fact that we opened the first phase actually of this redevelopment last year and we were able to almost rent it out totally. So for example, in next month, the beginning of next month, I think it's the 3rd of March, [indiscernible] will open their new store in Tilburg and our project. So I think this is good news as well, and I'm looking forward to redevelop the center further. Matthijs?
Matthijs Storm: Thank you, Pieter. Now we also make some short comments about the 2 Belgian centers. Of course, Belle-Île, I was there 2 weeks ago. That refurb looks fantastic. It's very small in a picture on the top right-hand side of your sheet, with the label "finished" on top of it, but I think we did a really good job here. And again, we're now filing the permit for the extension of this project. With an IRR of 8% and 32% mixed use, I think this is really an interesting flagship Full Service Center for us maybe already now but certainly in the future. Then in Kortrijk. In Kortrijk, we announced a new project today. Actually the -- our Belgium subsidiary Wereldhave Belgium mentioned that as well, but here we are investing, for example, in a fresh food area, create the newest concept of The Point. We're also adding some space outside the building, F&B but also leisure and entertainment. And here you can see we're going to 24% mixed-use space and an IRR of 7%. With that, I'd like to hand over back to Dennis again to tell you more about ESG.
Dennis de Vreede: Thank you, Matthijs. Yes, indeed, two slides on our ESG performance over 2020. I think the header basically says it all, a continued leadership position on ESG, even improved, I would say. And I think we have been recognized, Wereldhave, already for years in this sector. It's good to see that the world basically starts to recognize it more and more. And basically our new strategy which we put out last year is getting more and more visible. It's only logical to us. It's anchored in our strategy. A better and more comfortable everyday life also means a better environment. We've done well in 2020, as demonstrated on this slide. We even improved our leadership position, as you can see by the different recognitions we put out in a press release 2 months ago, but I think it's important to show this again. It's that we keep focusing on our ESG strategy. We also -- on this slide also wanted to make sure that we show you that we have reduced the energy consumption per visitor by over 30%. Well, we did this by, amongst others, installing 15,000 solar panels on our roofs. We connected 4 of our centers, up to now, into district heating. I think 1 in Belgium, 3 in the Netherlands. And we are procuring wind energy, green energy for the rest, but we don't stop here. Basically we have committed also ourselves to the Science Based Targets initiatives, the SBTI, you could you see on the right-hand bottom corner. And this really also aligns us with the Sustainable Development Goals of the United Nations. We're committing to reduce 30% of our carbon emissions by 2030 and become net 0 carbon by 2045. How will we do this? I think, again, through our new ESG strategy, which is based on 3 pillars: a better footprint, a better nature and better living. It also involves, to end this slide, by integrating net 0 road maps or net 0 road maps on carbon emissions into all of our Full Service Center transformations over the next couple of years. Back to Matthijs.
Matthijs Storm: Thank you, Dennis. And I realize we've been speaking for quite a while, so we're going to wrap up briefly with our management agenda. What you can see in the Harvey balls on the right-hand side is the difference between Feb '20, when we announced the strategy, and today; of course, nice progress with the Dutch disposals, still some work to do on the balance sheet. Yes, we realize that, but we will do. Creating new Full Service Center concepts, as Pieter mentioned, where I think we're nicely on track, also with the conversions with now 4 projects running. We've mentioned them. And if we look at the digital tools we've launched, I think we're almost already at 3/4 of our ambition; same for the organization, so that's good, on CSR, ESG. I think Dennis already gave you a detailed update. So I think we should go into the questions.
A - Matthijs Storm: And as I'm speaking, anyway: I can see the first one popping up in the screen from Niko Levikari from ABN AMRO. The question is, looking at Belgium, can we expect some acquisitions in 2021 given the 20% Belle-Île limit issue? Good question, Niko. Thank you for that. Maybe for those who are not familiar with the 20% limit issue: We are a Belgian REIT and the FSMA require us that no single asset is more than 20% of the portfolio by value. Belle-Île is very close to that limit. Of course, when we do an extension, then we will go over that limit. So I think that's the background of Niko's question. If we will do acquisitions in Belgium, then Belle-Île, of course, will decline with its relative weight in the portfolio. The answer, Niko, is yes. We are looking in the Belgian market for acquisitions, as we already said last year. So we're open for it, but the requirement for us is to pay at least part of the deal in equity. Of course, our cost of equity in Belgium has gone up. So our weighted average cost has gone up, so that also means that our yield requirement has moved. If we find a right deal hitting the discipline that we mentioned, IRR above WAC, then we will do a deal to tackle this. There's another question from Niko. "Do you expect to keep the single dividend payment in 2021 as well?" The €0.50 we are announcing today will be paid in one installment in April 2021. For the dividend of 2021, indeed we will pay that in April 2022; going forward, to be decided. Dennis, do you want to take the next one?
Dennis de Vreede: Yes. "Can you provide an update on the residential plans? How many sites are you looking at in Belgium and the Netherlands?" I think that's referring back to one of the slides earlier, Matthijs...
Matthijs Storm: Yes. Belgium is three at the moment. So that is Nivelles, Brugge and Waterloo. So in Brugge we bought a retail park, and there is a potential to add around 80 units because the Maalse Steenweg is right in the heart of a good residential area in Brugge. Nivelles, I already explained. And Waterloo is an inner city. Waterloo is a pretty rich area just across the border in the Walloon area, where we do some retails, a small project and also residential.
Dennis de Vreede: Yes.
Matthijs Storm: Dennis, do you want to take this one?
Dennis de Vreede: Yes, I can take this one, long question, again from Niko from ABN, regarding the disposal in de Bogaard. Can you comment on whether the disposal price was above, below or in line with the 2020 book value of the asset? And can you comment of how much of the asset was sold versus the 2019 book value of the asset? Even a rough estimate would be appreciated. Previously, this site was highlighted as one potential mixed-use site with residential plans. Can you elaborate why you decided to pursue the divestment of it, after all? So a long question, a good question, indeed, Niko. I think we have been really calculating a lot last year and looking at a lot of plans of what we could do with de Bogaard. And we've seen that the residential plans, as far as we could see it, were shrinking a little bit compared to the original plans we had. So the number of units and the volume we could develop there in partnership with a developer, of course. So basically we've been redoing the maths and we did see that we did not get to the 6%, Matthijs mentioned, IRR for this project.  So by sort of concluding that, we were looking into the market if we could find a buyer who could be willing to pick up that project and basically work on that mixed-use residential plan. We've also seen ourselves that -- over the past year that we had some pressure on the rents. We did see that we have a lot of contracts actually expiring this year where we had to work on. So all in all, we were looking for a buyer for de Bogaard. We found a very reputable buyer, as you may have seen in the press release, SB Real Estate, part of HAL. And in terms of book value or -- and the disposal price, I can say this was roughly about 15% below the book value, between 10 -- I think around 12%, 13% below book value at the year-end 2020.
Matthijs Storm: Question from Herman Van Der Loos, Degroof Petercam. What is the split Emiclaer, Les Passages du Havre? Les Passages du Havre, Herman, was an asset that we had in the books, I'm looking at Dennis, for 10 million, and we sold for 10 million.
Dennis de Vreede: [Indiscernible], yes.
Matthijs Storm: And then you can do the rest of the math, I think, yourself. So Emiclaer was sold slightly below the book value. It's really only a few million, so that's a tight discount. You typically see this with these kind of shopping centers, also with the disposals that we will announce. They are close to book value. I think an asset like de Bogaard is an exception in that extents just like WoensXL earlier in the year. Another question from Herman: Are there assets pledged or other collateral given to lenders? Or is the balance sheet fully unpledged? I think that's the question...
Dennis de Vreede: Yes, yes. Good question, Herman, and I think we already answered some of those questions last year in our presentations. Indeed there's one new facility we executed last year, which is a green RCF with ABN AMRO, and we have pledged 3 Dutch assets under that facility. And of course, now we have been disposing some assets. We've been sort of -- that asset -- or that facility has now been lowered. So we could take 1 asset theoretically out of that facility. However, we will be discussing this with ABN AMRO in the next couple of weeks how to deal with it.
Matthijs Storm: We have a question from Frank Lauzber. "I would expect much more focus on decreasing the LTV to a number below 30%. The lack of this in the past, using the funds for other things, caused the dramatic stock share value decrease. Can you please highlight the priority this will have in the future?" Thank you, Frank. Indeed it is our priority to decrease the LTV. We think a number of between 30% and 40% is appropriate, so your ambition below 30%, in our view, would be too low. The way I look at this, and there is quite some research also on this for real estate stocks, that if you would go too low on the loan-to-value, then you basically miss out on an opportunity, yes. Because we have the opportunity, with an LTV between 30% and 40%, to borrow at very decent rates actually. We borrowed at 1.9% last year with an LTB -- LTV above 40%. So I think we should keep using that in the interest of the shareholders but fully agree with you. We should go down, and that will happen. Another question from Frank . "The direct result per share continues to reduce. What I miss is the change in these trends. It feels that it is all accepted and being proud on getting €1.40, €1.50 for 2022. Where is the change towards back to €3.50? This is too much staying in sleeping mode. I have lost enormous amounts with €50 a share buying price. And your comment is 'Do more. Do quicker.'" Well, I have empathy for that, Frank , of course. We're -- as I've said before, I don't know if that's good English: We are coming from far, as we say in the Netherlands. We have a lot of work to do. I think we made good steps in 2020 despite the COVID situation, but of course we need time to get to our ultimate goals that we've highlighted in management agenda. I think what we've also clearly said, Frank , is that from €1.40 or €1.50, there will be growth again, but we need to clean up things first before we can focus on growth again. So I hope you have that patience and that confidence that we can turn that around. I think the fact that we're reinstating that guidance is a good sign despite COVID. And I'm sure there will be a day that we're back at €3.50. I think this question is dedicated to me, from Mr. Rattenberg. I'm translating it straightaway into English. The deferred rental payments from Hudson's Bay, have they been received by Wereldhave? I think it's about your Tilburg assets, and it's about €2 million. Thanks for your attention. Dennis...
Dennis de Vreede: Yes, I can certainly answer that question, Mr. Rattenberg. We have been receiving 2 months of rental payment in 2020 from the Hudson bay company in Tilburg basically. So they are 10 months behind, so to say. Well, clearly, everyone has been reading. They have been declared bankrupt in the Netherlands, so we are aiming our efforts towards the parent company. We have a parent company guarantee for Hudson bay company in -- listed in Toronto in Canada. So in the Netherlands, we have been winning basically 2 court cases. 1 of them was to claim the remainder of the rental payments in 2020. You may also have seen in the news we have been leasing this now to a temporary replacement, De KOOPman, so we will in fact get a difference between what we were supposed to receive from Hudson bay company and what we actually do receive today. And that claim has been put in. We have not valued the claim at the moment in the balance sheet because it's uncertain if we -- if and when we will be receiving this, but we are now basically taking steps, legal steps, in Canada against the parent company.
Matthijs Storm: Thank you, Dennis. Next question is on -- there are basically 3 questions. The first one is, "You're still going to invest a lot of CapEx. What are you going to do if you cannot sell, if disposals do not transpire?" Of course, our plan is to sell, and I think in the Netherlands we're successful. If we would not be successful in France or if it would take longer, of course, we would have to delay some of that CapEx because they go hand-in-hand. "How much do you think CapEx requirements are going up?" The answer is simple. And it's basically 0 because we redid our entire blueprint analysis that we did also back at the end of 2019. And as Dennis already mentioned in the CapEx sheet, I forgot the number, but the overall number did not increase. What we are doing is getting rid of the front-loaded character so we're spreading more over the years. And the last question is investment markets in France and the Netherlands. "You say that it's not great in France but will improve. Why? You're getting traction in the Netherlands. Why is that?" Now in the Netherlands I think it is clear that there's a larger convenience component in the centers that we are selling. So that is helping, but also what we're seeing is that the German financing market is opening up again. So there's a large number of German banks willing to finance Dutch retail assets again. That is the big difference between 2020 and 2021, so far. In France we are seeing that capital markets are also slightly starting to reopen. It feels like that process is lagging the Dutch situation a bit, but again, ultimately if we look at the quality of our product, we're sure that, if a buyer would need financing, there will be financing at a certain point in time. Dennis...
Dennis de Vreede: Yes, a question. Next question, from Mr. Henk Devrain. What additional actions can be taken to increase the collection of rents in France? Good question. It is France is the, so let's say, on the lower end of our cash collection efforts. I still believe the team has been doing a great job, yes, in terms of rent collection. It is -- has not been easy. We've seen that France ended the year with about 86%, which was the adjusted collection number. That was highly impacted basically by Q2 and Q4. Those were the -- let's say, the 2 lockdowns in France. Both those numbers were lower for the quarter, the rent collection numbers. So what we are doing there is not very much different from what we are doing in the Netherlands and also in Belgium. And that is really to make, let's say, individual arrangements, agreements with tenants. I see that it's taking more efforts and more time to get there with French tenants in general, so that's why -- I think that's one of the reasons why they are lagging a little bit behind the Netherlands and Belgium, but the approach is the same. So we do look at a tenant-by-tenant basis which tenants can we and do we want to help. Which tenants are basically out of our reach and we cannot help? So not a different approach, but we keep chasing for rent collection also in France.
Matthijs Storm: Thank you. Before I go into this question, I think there was also a question on dividend policy for the coming years. We can be clear on this, and I think Dennis has mentioned it. Our policy is 75% to 85% of the direct result per share. Of course, I think we described in detail why we are deviating from that this year. And year-by-year, of course, we will judge if there is a need to do so, but the policy is unchanged. Then we have a question from Allison Sun. With higher turnover data sharing percentage with tenants, does that mean Wereldhave will also consider increasing the turnover rent in the future? Thank you for this question. Not necessarily: I think the key is -- as Pieter Polman described, is that in Belgium and France we have sales numbers, but in the Netherlands that is not automatically happening, so that's why we're pushing for it. And I think Pieter and his team are doing a good job getting this number above 40%. Of course, ultimately our goal is to get to something like 70%, 80% because then we have the strong visibility and the tools to measure whether transformation works. We are doing a lot with our centers, moving parts of the center, moving tenants. Then you also want to measure what is the effect on sales. I think turnover rents is something which is more common in our industry than a couple of years ago. It's also because of some of the larger fashion chains are really pushing for it, but still today it's a relatively small percentage of the portfolio. Then a question from Mr. de Mejira. Residential development, to stay in the portfolio or to be sold? Good question. We are open to both. So far, we have said we look at it deal by deal, and that of course will remain. So far, given the restrictions in the Netherlands with the REIT regime, we thought in the cases of, for example, Arnhem Kronenburg, it was better to sell the development rights than to develop the residential and keep it ourselves, but going forward and also looking at the Belgian market, if we think there is a better case considering the CapEx and the profits to be achieved to keep it, we're happy to keep some residential rented in the portfolio. Dennis...
Dennis de Vreede: Yes. Next question, from Mr. Brier, Olivier Brier. "On your opinion, when can we expect to have the dividend at €2.50 per share?" Well, I think it goes back to also the question we have seen before, of course, which Matthijs answered. I mean, this year, I think, despite the fact that we have had an amazing amount of headwind because of the pandemic, I think, we try to demonstrate the confidence we have in the future to pay the €0.50 per share. I know it's not a lot, and it's not a lot compared to previous years. However, if I look at some of our peers, it is something, at least. When are we getting back to that €2.50 per share level? I think it's that will take some time. I mean definitely we have again reiterated our outlook, trough DRPS, direct result per share, for next year. Certainly, that's not a level where we can pay €2.50 per share, but as we start then to grow the company again, there may be some point in time where we can definitely increase the dividend per share again. Next one, addressed to me, from Mr. Marius Kerdel. In this low interest environment, lengthening the duration of the debt extensively seems sensible. What are the possibilities and the plans in this respect? Very good question. Let me answer that by saying that, last year, as we also mentioned in our presentation, we were able to extend or get new facilities in the magnitude of about €270 million. It was a very tough environment over summer to get that done. We had numerous discussions with our current banks, very constructive discussions obviously. So this has all been centered much around phasing out our portfolio in France. And I mean, once we have phased out that portfolio in France, yes, and again Matthijs also talked earlier today that we are still aiming to do that this year and next, we will get sufficient funds then to relook at our balance sheet, relook at our finance needs going forward and then decide what is the optimized basically financing need and financing strategy.  So over the next 6 months, we will certainly be looking again to have those discussions with our banks. We are also looking into longer-term debt. Longer-term debt typically also goes back to mortgages and secured financing. So also debt, we are at least also looking into. So I would say, over the next 6 to 9 months, we will be definitely relooking at our whole financing structure, but that is also dependent on how much pace we are making with the disposals in France.
Matthijs Storm: Next question, from Pierre-Emmanuel Clouard: "How do you intend to keep your French teams motivated for the next 2 years given that you want to exit by 2022? Can we imagine that rents will deteriorate in the meantime?" Yes, good question. Of course, now France takes a bit longer. That is really important. I think there are 2 elements. I think Olivier Mourrain, who is our country director, has done a really good job by keeping his management team, his core management team really well together. I think what also helps is that we are doing some projects, yes.  We still refurb Saint Sever. We are signing and working on the Primark and those kind of plans, so I think that also helps for the team. And of course, we also have the financial toolbox to do the necessary things. Can we imagine that rents will go down? In the meantime, I think at the moment there is some pressure on our French rents you've seen in the last years. We bought this portfolio, I think, in 2015 from one of our peers when the rental levels were set pretty high, so to speak, and that is something that we've been phasing for the last 5 years. That effect actually is gradually going out. However, also because of COVID, yes, in 2021 there will still be some pressure. And there will probably be some bankruptcies also in the French market, but as you could see this year, I think we have a capable team in France to deal with that. Then we have a question from Carlo Bojard. "what number of m2 has been leased last year to pop-up stores?" M2 is square meters, I realized. "And other specialists like KOOPman. Thanks for answering." We have signed with UpNext, I'm looking at Pieter, I think, 11 or 12 -- yes, 11 leases. So 11 pop-up stores in the Netherlands. In Belgium and France, we have a single-digit number of pop-up leases last year. And we did the KOOPman...
Pieter Polman: [Indiscernible] 12,000...
Matthijs Storm: 12,000 square meters I'm hearing from Pieter. That was a year -- at least for 1 year. I think we didn't do any similar leases like De KOOPman going forward. We're still open to that, but I think the Hudson is also a bit of a special situation...
Dennis de Vreede: Yes. And I think, maybe to add to this, KOOPman, I think, was for 2 years, the lease. But next to that, the whole pop-up next initiative we are taking, I think, with a different sort of kinds of temporary leasing, like Matthijs is saying, I think that has been a great success. And also, that success, we are going to introduce in Belgium on a more structural basis.
Matthijs Storm: This one, for you, Dennis.
Dennis de Vreede: Next one, yes. Next question is from Veronique Meertens. "Can you give us an indication what discount you are taking into account for the disposal of the French portfolio while still reaching the target LTV of 40%?" That's a very good question. And that's a question also which is, of course, a little bit sensitive given the fact that we are in the middle of our disposal process. There's not much I can say about what kind of discount we are taking into account obviously, I would say, in the interest of our shareholders, but we have taken some discount into our expectations. However, we are sort of moving now the project away from selling the entire portfolio at once, into a more individual approach. So on an asset-by-asset basis. And I would expect that on an asset-by-asset basis the ultimate total proceeds would be a little bit higher than trying to sell the entire portfolio to one party.
Matthijs Storm: Yes. And I think I wanted to add something to this and then see -- we have a question from Pierre Paren also relating to the disposal price. "Do you expect a different price now versus the price in discussion with the prospective buyer last year?" No. I think -- if anything, I think we will achieve a better price. That's why we're selling asset by asset. So that's our expectation, Pierre. And I think that also adds to the answer that Dennis just gave, yes.
Dennis de Vreede: Indeed.
Matthijs Storm: Another question from Herman Van Der Loos from Degroof Petercam. I think this is a financial question, Dennis, so more for you.
Dennis de Vreede: Yes. So Herman on -- is asking, "On an unpledged basis, what would now be your marginal cost of debt, say, on a 5 to 7 years duration? Are Dutch banks more restrictive or all smiles with retail property and more particularly Wereldhave? Given the low cost of debt in Belgium, do you consider group financing with Belgian bank debt?" From Herman -- no. Yes, Ruud, wants to add to this conversation a little bit. Thanks, Ruud.
Ruud van Maanen: Yes. No. There's no more questions. Thank you all. I'd like to close up the meeting of today. Thank you all for attending the meeting. Dennis, Pieter, Matthijs, thank you for the presentation. And we'll hope to be in touch with you in half years' time, at the interim results again. Meanwhile, of course, if you have any questions and want to know some more details, please send them over to me, and I'll try to answer them as quickly and as accurate as possible. Thank you very much.
Dennis de Vreede: Thank you.